Operator: Good morning, ladies and gentlemen. Welcome to the Suncor First Quarter 2014 Conference Call and Webcast. I would now like to turn the call over to Mr. Steve Douglas, Vice President Investor Relations. Mr. Douglas, please go ahead.
Steve Douglas: Well, thank you Wayne and good morning everyone. Welcome to the Suncor Energy Q1 call. We’re coming to you this morning from Edmonton, Alberta where Suncor will convene its 2014 Annual General Meeting later this morning. With me here in the room are Steve Williams, our President and Chief Executive Officer and Steve Reynish, our Interim Chief Financial Officer. I would ask you to note that today’s comments contain forward-looking information [that] our actual results may differ materially from expected results, because of various risk factors and assumptions described in our Q1 earnings release, as well as our current AIF and these are both of course available on SEDAR, EDGAR and suncor.com. Certain financial measures that we refer to are not prescribed by Canadian generally accepted accounting principal and for a description of these, please see our Q1 earnings release. After our formal remarks, we will open the call to questions; first from members of the investment community and then if we have time from members of the media. With that, I'll hand over to our President and CEO, Steve Williams.
Steve Williams: Good morning and thank you for joining us. I am very pleased this morning to have the opportunity to provide some color around what I think is a very strong first quarter. As everyone knows by now, we set a number of production and financial records in the quarter. I'd like to put that performance into a proper strategic context in terms of what we're seeking to accomplish here at Suncor. For a number of years now I've been talking about Suncor’s unrelenting focus on operational excellence, capital discipline and profitable growth and every simple concept that almost any organization might embrace, but the challenge of course is in the execution putting the proof points behind each of these concepts. So, let's look at how we're doing. First, I'll start with operational excellence. At Suncor, we have been driving a disciplined system of operating controls throughout our business. And that means adopting consistent standards, processes and procedures for everything we do. And the goal is to reduce and ultimately eliminate causes of unplanned events and incidents. But it really is not about culture as it is about process. And we're working towards a culture of excellence across the company. Efforts of our labor are evident in our operating results. Month-after-month, quarter-after-quarter, we're steadily improving the reliability of our operations and reducing the frequency and the severity of unplanned outages and incidents. In this quarter, we achieved close to 90% throughput on our oil sands upgraders to produce a record average volume of 312,000 barrels per day of high value synthetic crude oil. And we accomplished this despite three weeks of planned coker maintenance in the number two upgrader complex. So we are making real progress on upgrader reliability. And with no major turnaround maintenance planned until 2016, I’m confident that sustaining 90% utilization rate is now within our reach. Our mining and in situ production increased by 4% and 13% respectively versus Q1 of 2013. We did deal with a number of minor maintenance issues in both areas. And of course that was compounded by a bitterly cold winter here in Northern Alberta. With Firebag now operating at capacity and winter weather behind us, we remain comfortable that production this year will be in line with our guidance. In the downstream where our operational excellence programs are well entrenched, our refineries once again delivered industry leading reliability, averaging 96% of utilization for the quarter. And as a result, our refining and marketing business generated record operating earnings of $787 million. Operational excellence was also evident in exploration and production at Terra Nova where we completed extensive maintenance in 2013. We ramped production back up and operated reliably throughout the quarter. We experienced similar performance at our non-operated properties. With Brent prices remaining well over $100 per barrel and favorable exchange rates, E&P delivered a strong margins and cash flow even with the Libyan production shut in for the entire quarter. So our focus on operational excellence is yielding strong results. Reliability is steadily improving and we’re on track to meet or exceed our production guidance in all areas. Of course that means we’re generating a great deal of cash flow, which puts the focus clearly on capital discipline. We continue to manage our spending in a very disciplined manner. Our prime goal is for $7.8 billion in capital expenditures this year, but as with the past couple of years, we will continue to look for opportunities to reduce capital and improve returns. Our capital priorities are very clear: Invest in base business to ensure reliable and sustainable operations; invest in profitable growth and steadily improve our returns; and return meaningful cash to shareholders through competitive dividends and opportunistic share buybacks. In the first quarter, we continued to make strong progress on all of these fronts. Record cash flow generation enabled us to comfortably fund our sustaining growth capital programs and we continue to aggressively return cash to shareholders with another dividend increase and a $1 billion extension to our share buyback authorization. Turning to profitable growth, I’m please to say, we’re on track to meet all of our commitments. On the Fort Hills mining project, all the key engineering procurement and construction milestones are tracking to plan; and to put in context, we now have 1,700 people on that site. Our schedule calls for first oil in late 2017. Our various oil sands debottleneck plans continue to progress as well. Notably, we just begun to seeing the new wells associated with the MacKay River debottleneck project and we expect to see first oil later this year. This project is expected to expand MacKay River production by about 20% at a capital cost of less than $10,000 per flowing barrel. Our major growth projects in E&P are also moving forward on schedule, at Golden Eagle in the UK, North Sea, top sides and subsea infrastructure are now over 90% complete. We continue to anticipate first oil around the end of this year. At the Hebron project on Canada’s East Coast, engineering is now over 80% complete, construction of the gravity based structure is approaching 30% completion and that project is on schedule to deliver first oil in 2017. In the midstream this quarter we commenced shipping on what is now known as the Gulf Coast project. We used to refer to it as the southern leg of the Keystone pipeline. We immediately began to realize considerable price uplift versus sales in the Midcontinent. Our investments in shipping capacity across the continent have positioned us very well to move our production to globally priced markets and minimize our netbacks. And I have been beating this drum for a number of years now. And again, in the first quarter we got 96% of our crude production achieving global prices. In our downstream, we have made up significant progress on growing margins at the Montreal refinery. In the first quarter, we ramped up our crudes by rail deliveries to operate 20,000 barrels per day and we achieved a feedstock cost reduction of more than $10 a barrels on inland crude versus the alternative Brent based supply. With the recent approval of the Line 9 pipeline, we are anticipating supplying a 100% of Montréal refinery’s feedstock with cheaper inland crudes up by this time next year. In preparation, we are investing over $200 million in upgrades that will increase operating flexibility and improve yields. So as you can see guided by our commitment to operational excellence, capital discipline and profitable growth, Suncor is improving reliability, growing returns and laying the ground work for future success. So, we’ve got a great start to 2014; we are on track to meet our operational, financial and growth commitments and deliver strong value to our shareholders. So I am going to pass it over to the Interim Chief Financial Officer, Steve Reynish to provide his insights on our strong financial performance in the first quarter.
Steve Reynish: Thanks and good morning everyone. Well, as Steve pointed out, the first quarter, so Suncor delivered a number of production and financial records. All of our business is operated reliably. And we took advantage of strong pricing in the upstream and solid margins in the downstream. We also leveraged our strong midstream capability to maximize the margins we captured. It all added up to a very good quarter. We posted operating earnings of $1.79 billion including a record $787 million from refining and marketing. Cash flow from operations was also a record at $2.88 billion. We invested $641 million of sustaining capital and $737 million of growth capital. After factoring $108 million for capitalized interest that left us with free cash flow for the quarter of $1.39 billion. This continues the trend of strong, reliable cash generation. Over the past three years, Suncor has produced an average or approximately $50 cash flow and $15 of free cash flow for every barrel of production. That puts us at all very near the top of the global energy industry. And we've taken steps to steadily increase that cash flow generation by trading out lower margin barrels for higher margin barrels. For example, our production mix in the first quarter of this year was 99% crude oil and liquids, up from 92% in the same quarter last year. And this of course is primarily the result of divesting our low margin conventional natural gas business in the form of last year. For past few years, as we have refocused our production portfolio on Oil Sands and high quality offshore properties, the divestments we've made attended to most the growth in our core production. As we go forward, the increase in high margin production driven by our sweet and profitable growth projects is expected to produce a corresponding growth in earnings and cash flow. At the same time we continue to play such huge focus on effectively managing costs. At oil sands our cash cost came in at $35.60 per barrel which is slightly above our guidance range of $31.50 to $34.50 higher gas costs and reduce bitumen production drove the higher unit cost. But as we move into our peak production season we are well positioned to meet our cash cost forecast for the year. Another example of cost improvement is our inland crude supply to Montreal refinery. Our crude by royal program saved the company of the $20 million in feedstock costs in the first quarter. And as Steve mentioned, we plan increase royal shipments to Montreal and by this time next year, move to a 100% inland crude access once the Line 9 pipeline is reversed. These developments are expected to further reduce our crude feedstock costs and significantly improve the profitability of our Montreal refinery. Strong cash flow and prudent cost management are having a positive impact on returns. Our trailing 12 months return on capital employed [ROCE] to 12.7% this quarter. So we're making definite progress and we continue to target a 15% ROCE. With another strong financial quarter in the books, our balance sheet continues to look very good. Our net debt stands at 6.96 billion for a debt to cash flow ratio of 0.7 to 1 and we have ample liquidity to fund our capital priorities to 2014. We're also positioned to continue to fund the strong return of cash to shareholders. As you know during the first quarter we increased our dividend by a further 15% bringing the five year compounded annual dividend growth to over 35%. It is interesting to note, but that was the 12th consecutive year, the Suncor has increased its dividend. In addition we continue to aggressively execute on our share buyback program, during the quarter we invested $384 million to repurchase and cancel almost 10.5 million shares. That brings our total investment since the program was initiated 2.5 years ago to over $4 billion for a total of almost a 125 million share or 8% of the Suncor float. Approximately $1.4 billion remains on the current buyback authorization and we are continuing to execute the program. Recently, we've seen an uptick in Suncor’s share price as the Canadian Energy space comes back in the favor with investors. We believe that Suncor's unique combination of growth and free cash flow [merits] evaluation premium and we continue to see strong upside to investing in our shares. So, to sum up; it's been a solid start for the year and we are well positioned to continue that strong performance. We will maintain our focus on running our assets well, allocating our capital in a disciplined manner and profitably growing our business. We've confident that the market will welcome the results and reward our efforts. And with that I'll pass it back to Steve Douglas.
Steve Douglas: Well, thank you Steve and Steve. As was referenced earlier we have made only a very small change to our 2014 guidance and the details are available on our website suncor.com. The one change was around our assumption on natural gas prices moving forward and we have upped that from $3.86 to $4.50 per gigajoule, but there is no corresponding increase in cash costs. We remain confident we can hit our guidance on cash costs for the year. A couple of other notes to the financials in a rising crude price environment, the impact of FIFO accounting was a net positive of $200 million in the first quarter with our share price rising stock-based compensation was a negative impact and expense of $94 million of after tax and our U.S. denominated debt is more expensive with a weaker Canadian dollar that was a net after tax impact and expense of $308 million. With that I am going to turn it back to Wayne for the Q&A. I would ask if you have detailed modeling questions the IR team and controllers team will be available throughout the day and we can certainly pick those up offline. Wayne you can open the line.
Operator: Thank you. We will now take questions from the telephone lines. (Operator Instructions). Our first question is from Greg Pardy from RBC Capital Markets. Please go ahead.
Greg Pardy - RBC Capital Markets: Yes, thanks good morning. Steve, aside from Firebag and maybe MacKay, you have got a multitude of these smaller in situ oil sands opportunities. I am just wondering how some of those might fit into longer term plan and when we might hear more about them. Thanks very much?
Steve Williams: Okay, thanks, Greg. I mean the first point, I would make Greg is that we have got fast resource in in-situ as we say and we have being with one of the longest term operators now. So we have learned a lot as we have built Firebag and Mackay. We have a good bit to news, around the first quarter is I mean Firebag did performed very well, but maybe not so clear as we actually hit the designed capacity on a number of occasions. So we are very encouraged by the way that plan is now performing. But as you say we have lots of other opportunities, in fact we have probably the biggest in-situ resource in the industry. We have done extensive delineation. We have drilled a dozen sweet spots some at [Louis and metal creek]. And so we are getting into the stages of defining what and when that investment will take place. If you remember on Investor Day we talked about the modular design concept we are taking forward. So it’s design the plant once and then build it many times. And as we start get into more manufacturing mode, and we are building into those modular designs, the lessons we have learnt from Firebag and Mackay River. So I am optimistic, we have got multiple opportunities, we are delineating and as we get towards the end of the year, we will give you a little bit more clarity and what the timing of those programs look like.
Greg Pardy - RBC Capital Markets: Okay, great. Thanks very much.
Operator: Thank you. The following question is from Guy Baber from Simmons. Please go ahead.
Guy Baber - Simmons: Thank you all for taking my question. Upgraded sales volumes during the quarter obviously very strong and above the high-end of the guided range for the full year I believe despite the fact that your total Oil Sands production was not as strong as it could have been. Could you just comment a bit more on the strength of the upgraded sales volumes and your confidence level in maintaining those strong rates? And at this point should we be viewing your full year guidance as conservative on the upgraded volumes?
Steve Williams: Yes. Thanks for the question, Guy. I mean you know we've been on a reliability push around upgrading for a number of years now and recognized it's been something we have to work on because it wasn't acceptable to us. We're definitely making real progress and we're comfortable and confident in the progress we're making. You heard me say in the prepared notes there that we achieved the 312,000 barrels a day in spite of the fact we went into planned annual managements on Unit 2 for three weeks. So, very encouraging what we’re seeing there. Just a comment for those who don't necessarily appreciate the detail of upgrading, of course there is sort of a Catch-22 in upgrading, which is absolutely the right business decision and absolutely the right thing to do from an earnings and cash generation point of view and particularly from a margin point of view, which is you do destroy volume across an upgrader. So, for every barrel you put into an upgrader, about 0.8 of a barrel comes out. So, you see, so part of the reduction in bitumen is to do with the fact that we are more reliable in terms of the upgrading. So, we will some of that. Part of that it is to do with the fact as I said we had maintenance issues in mining and extraction compounded by the weather that we have to work through. Let me directly answer your question. We are not changing any of our guidance so that’s gives an indication of how comfortable we are with the volumes from the front-end. We haven’t increased the guidance around upgraders because the position we’ve wanted to adopt for the last few years has been to under stake and over deliver. And so, we're very comfortable with the guidance range. We’ll take another look at those towards the middle of the year.
Guy Baber - Simmons: Hey, great very helpful. And then my follow-up was I was hoping to get just a little bit more clarity on the medium term growth outlook. A substantial increment of your new production volumes between now and 2016 should be driven by those logistics debottlenecks. Can you just be a little bit more specific around the incremental production that you could unlock and what specific projects we need to be looking for that can contribute to that production improvement. Just trying to gain a bit more confidence in that production growth given it’s going to be such an important driver over the next few years?
Steve Williams: Okay. We're quietly confident about what we're looking at. If you think that the majority of the growth in that period comes from Firebag coming up to full throughput and staying there and we're very comfortable. The plant came up much faster than we expected. It’s been very reliable. And as I said, we’ve actually gone through on a daily basis the 180 level. And so now working at how we can reproduce that day-after-day, so very comfortable with Firebags. MacKay River of course is one of the other ones and I talked about that project has gone very well. We drilled the wells; we’ve got first [payment] and production from that will come towards the end of the year, so very, very comfortable. And we’re also quietly confident around the logistic pieces. As we started to utilize the facilities that we put in over the last 12 months; the tankage, the cooling and the pipeline, we have been able to take advantage of that. Of course that was partly related to why we're seeing the upgrader reliability improve as we improve the feed quality into the upgrader itself by using, by putting up those volumes of Firebag materials straight to market as opposed to going through the upgrader feed system. So in sum, a bit complicated. In summary, I would say we're comfortable and we're confident with those debottleneck projects.
Guy Baber - Simmons: Great, thank you for the comments.
Operator: Thank you. The following question is from Paul Cheng from Barclays. Please go ahead.
Paul Cheng - Barclays: Hey gentlemen, good morning, several quick questions. Steve any update about Montreal Coker project?
Steve Williams: Yes. Let me just back up a little bit and take an opportunity to say what's going on there Paul. So, if you recall, we put the rail facility and that rail facility is designed for us in the mid [30s] in terms of thousand barrels a day. We put about 20 through that on average through the first quarter as we built the facility online. We’d expect to average for the rest of the year north of 30,000 barrels a day. So, the rail facility, the first part is done. We’re delighted with the news around the Line 9 reversals and anticipate that line being reversed plus or minus a few months on the end of this year, but just working through the specific schedules on it now. And that enables us then if we choose to fill the refinery with inland crudes. And the reason I wanted to restate that is the vast majority of the upgrade you get on the refinery comes by moving from international crudes to inland crudes. And I know I had a smile on my face when Steve D has been talking about just to put that in context we’ve got 50 million barrels of crude through that refinery. If you’d look last year, the margin was $20 a barrel difference between international and inland, it would have been a billion dollars cash. That differential is significantly different this year. What we’ve seen this year on average has been in the order of 10 and of course will affect the market as we start to move that material. So, we would expect to see it less than that. But you see a significant amount of earnings and cash generation just by putting inland crudes in. We then have a sequence of projects which range through first of all changing some of metallurgy on the refinery then the Isomax project and then the Coker project. The first two projects we’ve already approved and are in play. So, the metallurgy pieces and the Isomax project are being executed now. The final piece then is the Cokers. The Cokers are an important and strategic project for us, but our margin project and the returns are not as immediate and not necessarily as high as the first piece is. So you will see us doing sequence. So that’s a long way of saying I expect to have on my desk by the end of this year the proposal for the Coker project. So, we’ll be in a much clear position towards at the end of this year maybe beginning of next year to decide whether we go ahead with that project when we’ve seen some of the impacts of what we are making.
Paul Cheng - Barclays: Steve, do you have a preliminary cost estimate for the Coker given you already had the equipment opinion on hand? Should we assume that is going to be more like in the 500 let’s say a couple of billion dollars?
Steve Williams: We haven’t talked, I have one, but we haven’t told publically about public (inaudible) I would give you two benchmarks; one, it will be significantly less than anything we could build in the Fort McMurray region partly to do with major project productivity and execution. And then there is another reduction because we already have all the significant pieces of that project constructed. So, it comes in a fraction of most upgrading projects. So, the economics relative to other coking are very good. So that puts us in a very strong position.
Paul Cheng - Barclays: Second question as the Gulf Coast oil prices start to moving into the discount for the international market. Two part question, one is that any plan for the remainder of the year before there might be reversal complete going to shift some oil from the U.S. Gulf Coast to the Montreal? And also whether you have any plan after you ship your oil through the Gulf (inaudible) set down to the Gulf Coast to other region?
Steve Williams: Sorry Paul, you broke up on the second part of your question there.
Paul Cheng - Barclays: Okay. The two parts on this question is that, with the U.S. Gulf Coast price start to move into the discount position comparing to the international market, do you have any plan before the (inaudible) reversal complete for the remainder of this year to ship oil from the U.S. Gulf Coast to the Montreal? And secondly that or that once that you get the oil down to the Keystone XL delta sent down to the Gulf Coast, so we export it into another country?
Steve Williams: Two comments are made. First on the Line 9, if we move things by ship, it's opportunistic and we've done it. We did actually put a big ship in last year deliberately to test out the logistics because one of the benefits of the Line 9 Reversal is it gives us with our midstream capability, a lot of flexibility in that region and actually on the continent. Because you have the Line 9 going into the refinery, we have the rail capability and the mix of the two is very effective. We use ships regularly. And so, we look at the markets, look at the arbitrage and take advantage of that and we'll continue to do it on an opportunistic basis. So, in a sense, you're right, we don't necessarily have to wait until Line 9 is reversed in order to get preferred economics there. On Keystone, we have opportunities, we are in a very strong position, because we did part of our market access strategy and why I was bullish for the last couple of calls around what we think is a preferred position we’ve got into is because, we were one of the companies who secured firm capacity on Keystone side. So, yes we will have the opportunity and we're looking to see what we would do pulling some of that out to water.
Paul Cheng - Barclays: Okay. Do you already have the permit to export oil from U.S. into the Montreal, or that you have to apply it?
Steve Williams: We’ve done four cargoes and that's not difficult for us to get.
Paul Cheng - Barclays: Okay. And final one, Steve, can you give us some quantification in your oil sand price realization in this quarter? How much is the benefit of your Keystone XL got assessed in terms of the improvement on your price realization?
Steve Williams: Very little in this quarter, I think Steve is just signaling to me the actual number, so 3,000 or 4,000 barrels a day. But clearly the opportunity is there for that to increase because just about the time when it came on in the products we had available through the period.
Paul Cheng - Barclays: Okay.
Steve Douglas: Maybe I’d just add; it’s Steve Douglas here, Paul. We weren’t marketing a lot of third party bitumen this quarter, so the impact was small. But what we did see going down to the Gulf, we were seeing about an $8 a barrel uptake or premium versus marketing those barrels in the Midcontinent.
Paul Cheng - Barclays: Perfect. Thank you.
Operator: Thank you. The following question is from David McColl from Morningstar. Please go ahead.
David McColl - Morningstar Research: Good morning. Just I have two questions here. The first one, you mentioned four cargoes that you’ve already shipped, I was wondering if you could clarify whether that was one Eagle Ford, maybe three LLS cargoes, up from the Gulf Coast. And looking forward, I know you mentioned to be more optimistic volumes by [tank] and Line 9 comes on. Is that kind of implying that you’d see or expect to see lower LLS volumes coming out?
Steve Williams: I'll answer the first part and I’ll let Steve pick up the second part, my line broke up there, David. We’ve had four cargoes, three were the Eagle Ford and one was light Louisiana sweet.
Steve Reynish: And just in terms of the cost to it, to move those barrels David is in the $4 a barrel range to move them to Montreal out of the Gulf. So it’s purely opportunistic, if we saw Louisiana light sweet at $6 to $7 under the alternate barrel, the Brent barrel then we’d look at doing and again.
David McColl - Morningstar Research: Okay, great. Maybe just one other question on the rail side then. Can you give any split between other volumes that came up to Montreal, how much were from Western Canada and maybe how much were kind of Bakken volumes on the U.S. side?
Steve Williams: Not sure the exact split but we're loading out of North Dakota and also out of Cromer, Manitoba. Cost typically is about $10, it can be as high as $12 all in to move the barrels, so little higher out of North Dakota than North of the boarder. And on a landed basis, we realized about a $10 cost, feedstock cost improvement over the alternative barrel.
David McColl - Morningstar Research: Okay. So you can't give us split on how much was kind of Canadian but a good portion was from the Bakken region, is it?
Steve Williams: Yes, that's right. I'll -- offline David, I'll pick that up and get the actual split.
David McColl - Morningstar Research: Perfect. Thank you very much.
Operator: Thank you. The following question is from Evan Calio from Morgan Stanley. Please go ahead.
Benny Wong - Morgan Stanley: Thanks, it's Benny Wong from Morgan Stanley. My question is with the fair amount of cash on hand, is there a potential to accelerate the return on capital to shareholders or are you trying to balance that ahead of the upcoming Fort Hills cut backs; can you provide us sense of how you think about that and your pace mix?
Steve Williams: Yes. I mean we have been very clear Benny around what our priorities are; and I said those. You are going to see us focusing on ops excellence, generating the cash and then exercising capital discipline. We are putting the capital towards making sure we are sustaining the reliability of the business first, then we’ve got this suite of growth projects where we are relentlessly focused on productivity and not spending that money effectively. And as you say, we’ve got money leftover when we’ve satisfied those priorities. We’ve committed to dividends which we’ll -- we’re not giving specific numbers but we will continue to grow as our earnings grow and as our production grows. And you will see that trend continuing through time but of course that is a Board approval. We’ve then been aggressively buying shares back; we bought 8% of the company back already as part of the program. And last quarter we put another $1 billion into that program. We currently have $1.4 billion approximately left of that authority to buyback. And at these prices, even at the prices we are seeing today, I expect that program to continue. And at the current rate of buyback, we will need to revisit the program towards the end of the year when we will have exhausted the fund which is currently available to us. So I would say, you are going to see more. I mean we are aggressively pursuing it. We recognize that part of this first quarter was excellent operation around particularly the upgraders and the desulphurization plants and oil sands to give us very high margin products; excellent reliability in the downstream, which means for the oil sands crude, we are able to fully realize margins there; and some exchange rate pieces in there. So we did some really good things and we are pleased with that, but the market gave us some things as well. So you are right, we’ve [earned] on the side of being cautious in terms of the balance sheet and we test that regularly. So clearly with the amount of cash we generated in the first quarter, if we see that continue and it gives us even more opportunity to pursue that set priorities that I laid out there, and clearly that will include looking at moves in dividends and potentially more share buybacks.
Steve Reynish: Benny, I would just add to that, the Fort Hills capital program represents something like 15% of our annual capital. So, I wouldn’t view it as any sort of threat to any decisions we will be making on returning cash to shareholders.
Benny Wong - Morgan Stanley: Great, thank you.
Operator: Thank you. The following question is from Chris Feltin from Macquarie. Please go ahead.
Chris Feltin - Macquarie: Good morning. Question more on the GAAP side actually. I am just curious net of your recent dispositions, you are down to about 99% oil or I guess up to 99% oil and down to pretty small position on a relative basis within the Montney, just curious what your strategy is looking forward here, now that I think you have rationalized essentially all of the gas assets you had? Is the Montney something you view strategic; is it something you really get getting bigger in; just kind of your current thoughts on that part of portfolio in particular? Thanks.
Steve Williams: We are still very pleased with the deal we did around our gas business. We’ve assumed a mid, long term price of gas in acquisition process in the sort of $4 to $6 range. So, gas prices are very much where we expected them. We do have a sort of hedge on gas prices, because we are such a large power generator. We are depending on how that spread between gas price and power is on a particular day. We can be hedged in the sort of 20%, 30%, 40% range effectively of gas prices coming into our business. So, our strategy was very clear. We have a view that there is relatively cheap long-term gas on this continent and even with the spike we saw and the high levels we've seen that place still holds good in our view. I’d sort of push back a little bit on the Montreal; I mean it's a world class piece of resource there. It's absolutely top quartile in terms of its quality, its right in the sweet spot. And it’s sort of 7 trillion, 8 trillion cubic feet. So, it's a major piece of gas if we chose to develop it. We've delineated it. We're in a position where from very low cost we can hold the lease. We can also have the capability in the company should something happen that we don't anticipate to produce that gas as well. So, we like it. We like our options around it. We don't have any plans to sell that at the moment. We don't have any plans to put that into an LNG facility at the moment. But we like our options there.
Chris Feltin - Macquarie: Okay. Thanks.
Operator: Thank you. The following question is from Menno Hulshof from TD Securities. Please go ahead.
Menno Hulshof - TD Securities: Yes. Thanks and good morning. I've got a couple of questions. First, you mentioned that you produce through design capacity at Firebag on a few occasions. So, how should we be thinking about Firebag run rate production through 2014 and into 2015? And then moving on to the North Sea, I’m seeing three turnarounds at Buzzard totaling roughly nine weeks between now and the end of the year. So, does that take care of turnaround activity at Buzzard for the next of while or should we expect more downtime in 2015?
Steve Williams: Okay. I mean let me just comment on Firebag. I mean we -- Firebag is included in our guidance and we're comfortable with our guidance. So, I would put just slightly optimistic note on the end of it, which is sort of underlining what I said earlier. That was 180,000 barrel a day facility we’ve already been through that for a number of days in the first quarter. It’s been very reliably producing and as you can see from our numbers got up into the 160s on average through the quarter even including the cold weather, so very encouraged by Firebag. One of the things we will be looking at as we go through this year is we’ve talked about the debottleneck capability of Firebag and we’ll start to get clear as we test it up near to its limits then we are able to see where we're able either with investment or without investment maybe starting to push that 180 upward. So, what I would say is in the round, we’ve included in guidance and which rewards, at the moment which rewards the top-end of our expectation. So why don’t you too (inaudible) Steve?
Steve Reynish: Sure. So Menno, we included originally in our IR deck guidance in the first quarter fairly extensive maintenance at Buzzard, a total of nine weeks. And in fact some changes have been made to that, they’ve been looking to -- the operators been looking to optimize the maintenance windows, because some of it was third-party maintenance. So it will be less than that. So there is some upside to budget production for 2014. We actually don’t have the 2015 maintenance schedule yet, I certainly anticipate typical four week turnaround that we see annually in the summer, but don’t have the specifics yet for 2015.
Menno Hulshof - TD Securities: Great, thanks. That’s it for me.
Operator: Thank you. The following question is from Mike Dunn from FirstEnergy. Please go ahead.
Mike Dunn - FirstEnergy: Thanks. Good morning everyone. Steve, just wondering if you have a schedule in mind for when you might be naming the permanent CFO? Thanks.
Steve Williams: All I would say is the process is going very well to plan. As you noted, an extensive -- we did a global search, we’ve got some excellent external candidates, excellent internal candidates. I would expect to bring it to a conclusion in the second quarter.
Mike Dunn - FirstEnergy: Okay, thanks. That’s help for me.
Operator: Thank you. The following question is from Mohit Bhardwaj from Citigroup. Please go ahead.
Mohit Bhardwaj - Citigroup: Hi, thanks for taking my question. Just a quick question on the natural gas supply disruptions, if you guys can talk about the lost opportunity in the first quarter.
Steve Williams: Let me just give you a few top context questions and then maybe later tell you on specific discussion with the group. They’re relatively minor, I mean they were bigger in the fourth quarter with the combination of a better process with the service provider and our ability to manage around as many -- the impacts have been smaller. They have been small around Firebag and the base plan. I don’t see them having a big effect going forward. It is possible there will be some things we are not aware of on current plans and the way the process is working, as we have gone into the lighter demand period for gas generally in the region because of the seasonality. And as the provider starting to get into fixing, some of the issues there, I see the impact diminishing. So I think it will be negligible as we go forward.
Mohit Bhardwaj - Citigroup: Thanks for that, Steve. And just thank you also for sharing your thoughts around use of excess cash, just wanted to come back to what you said during the last earnings call that you would want to maintain a run rate of around $500 million in share buybacks per quarter. And I was just wondering, you said you are comfortable at current levels for buying back shares, just your thoughts around that as well?
Steve Williams: I mean you saw I’ve summarized it there for me; I mean on the supply side, we the cash assuming market conditions and the business performs as we are planning for this year. And then it becomes a question of our view. We are a opportunistic value buyer in the market, so we do calculations just the same as everybody else, very comfortable at these levels and the prices we expect this year, we expect to continue. So you saw I have got the bands. And I think it -- we think it’s been a relatively aggressive program, buying 8% of the company in a couple of years and see ourselves continuing to buy on a value basis and continuing the program.
Mohit Bhardwaj - Citigroup: And final one from me on MacKay River for the expansion, do we -- when do we get to an announcement on the approval?
Steve Williams: Sorry, that’s -- the first one, the first piece of the project which is I’ll call is the debottleneck is obviously approved, it’s largely constructed and we expect to have approximately 8,000 barrels a day by the end of this year. The duplication of the plant, the big expansion, I’m just looking at Steve for conformation, but I think that comes across my desk, by the end of this year.
Mohit Bhardwaj - Citigroup: Okay. Thank you for your thoughts.
Steve Williams: Thank you.
Operator: Thank you. There are no following questions registered at this time. I would like to return the meeting to Mr. Douglas.
Steve Douglas: Well, thank you, Wayne. And I appreciate everyone taking part. And of course just a reminder, we will be available throughout the day and going forward and we welcome further detailed questions. So I will sign out with that. Thank you again.
Operator: Thank you. That concludes today’s conference call. Please disconnect your lines at this time. And we thank you for your participation.